Hugo Nunes: Good day, everyone, and welcome to Thungela's 2024 Annual Results Presentation. I'm Hugo Nunes, Head of Investor Relations, and I'd like to take a couple of minutes to introduce today's agenda and explain how the day will run. But first, allow me to draw your attention to a couple of disclaimers ahead of today's presentation. While you take a moment to read through the messages from our lawyers, we will start with our CEO, July Ndlovu, who will share Thungela's 2024 highlights and update on the execution of our strategic priorities and the market. Our CFO, Deon Smith, will then talk through the financial and operational performance for 2024. And after this, July will provide the 2025 guidance and conclude the presentation. This will be followed by a Q&A session, and we will then close the call at approximately 1:30. [Operator Instructions] Before I hand over to July, I want to draw your attention to that unless otherwise indicated in the presentation, operational and financial figures related to the Ensham business in Australia in 2023 are based on Thungela's interest in Ensham for the 4-month period between the acquisition date of 31 August 2023 to 31 December 2023. Now please allow me to hand over to our CEO, July Ndlovu.
July Ndlovu: Thank you, Hugo, and good day to everyone on the call. Today, I'm pleased to share the 2024 annual results with you. These results demonstrate our continued operational excellence and disciplined execution of our strategy. Safety is and remains our first value. We are unconditional about protecting the lives of our people. We are proud to report that we have been operating a fatality-free business for more than 2 years. We've also improved our total recordable case frequency rate to 1.93 for the group. Operationally, we demonstrated exceptional agility in responding to the improved rail performance in South Africa in the second half of the year. For the year, the group recorded 17.7 million tonnes of export saleable production, which exceeded our market guidance in South Africa and at Ensham. While the impact of softer price environment across the Richards Bay and Newcastle benchmark coal prices continues to impact our financial results, the group recorded a net profit of ZAR 3.5 billion with Ensham contributing ZAR 676 million or 19%. Turning to capital expenditure. In 2024, we spent a total of ZAR 3.4 billion with ZAR 1.7 billion spent on sustaining capital and another ZAR 1.7 billion spent on our 2 key life extension projects, Elders and Zibulo North Shaft. Both of these projects remain on schedule and within budget. We continue to reserve the cash required to complete these projects. The Board considers it appropriate to maintain a cash buffer of ZAR 5.4 billion. We are returning all excess cash above the buffer to shareholders and have declared a final ordinary cash dividend of ZAR 11 per share or ZAR 1.5 billion in total, as well as a share buyback of up to ZAR 300 million. Let me spend a moment on an update on the execution of our strategy. We're making good progress across these 5 pillars. We'll discuss safety on the next slide, but suffice to say that operating a fatality-free business is not just about the statistics. It is about truly caring about our people and their families and making sure that our people go home to their loved ones safely every day. In 2018, Thungela and our Black economic empowerment partner established the Rietvlei coal mine with a view to supplying coal into the South African domestic market while ensuring the direct benefit for the local communities. With the mine now fully operational and a domestic contract in place, Thungela has sold its 34% interest in the Rietvlei coal mine to our partner. The transaction demonstrates economic inclusion. Our partners, together with the local communities, participate in the full economic benefits of the operation. Productivity improvements and cost efficiencies are key to ensuring that we remain competitive in the current price environment. This was demonstrated in the second half of the year when our South African operations were able to step up production, in line with the improved rail performance. The increased productivity drove production growth for the first time in 3 years and enabled us to exceed our guidance for export saleable production. At Ensham, we remain pleased with the significant production improvement since we took operational control of the mine in September 2023. You'll recall that the annualized run rate at the time was around 2.7 million tonnes, while in 2024, the mine achieved 4.1 million tonnes of export saleable production. Our 2 life extension projects, which improve the cost competitiveness of the business remain on schedule and within budget. Construction is complete at Elders, which delivered its first coal in March 2024, and we are now progressing with the ramp-up activities. We have previously told you about our gas reserves in Limpopo. Recently, we obtained the necessary licenses to develop a demonstration plant at the Lephalale coal bed methane project. The aim of this plant is to prove the feasibility of the gas project. We plan to spend ZAR 400 million on the demonstration plant and related infrastructure in 2025. Moving on to the creation of future diversification options. We recently announced the acquisition of the remaining 15% in the Ensham mine from LXI for AUD 48 million. We also announced that we have entered into an agreement with Audley and Mayfair to acquire their 27.5% interest in Thungela Holdings for an upfront consideration of USD 1.7 million and deferred contingent consideration. Let me be clear. They put in their own money upfront and what they are getting is slightly less than half of what they put in upfront. Upon completion of this transaction, the group will own 100% of the Ensham business. During 2024, we established the Thungela Marketing International business in Dubai. The team started marketing our Australian coal from late 2023 and coal from South Africa from July 2024. This was an important step as we seek to derive maximum value for our coal. Our capital allocation framework remains the cornerstone of our strategy. When it comes to returns to shareholders, our approach acknowledges the diverse preferences of our shareholder base. This is why we commit to provide returns to our shareholders through a combination of dividends and share buybacks. Since listing, we have returned ZAR 21 billion to shareholders. Just as a reminder, our day 1 market cap was ZAR 3 billion. The successful execution of our strategic priorities is testament to Thungela's ambition to build a sustainable long-life competitive business across multiple geographies, paving the way for the group to capitalize on the robust long-term fundamentals supporting coal globally. Let's turn to safety. Our total recordable case frequency rate has improved to 1.93 compared to 2.8 in 2023. In South Africa, we recorded a historic low rate of 1.07, while in Australia, we have made significant improvement with Ensham recording a rate of 13.21 down from 22.63 in 2023. This improvement reflects our strong focus on improving work, workplace conditions, leadership visibility and critical controls. We are on a safety journey, and we continue to share best practice across the regions to ensure that our people are safe at the workplace. Considering rail performance, which normally is quite topical. It is encouraging to note the improvement in the performance of Transnet, post the July 2024 annual maintenance shutdown. TFR railed 51.9 million tonnes for the industry in 2024, an increase of 8.4% from 2023. What was particularly pleasing was the improved run rate of 56.2 million tonnes in the second half of the year, up from 47.3 million tonnes in the first half of the year, easily the best semester since 2021. This improved rail performance reflects the collaborative efforts between TFR, the coal industry and the National Logistics Committee. We remain dedicated to supporting Transnet in addressing the critical challenges in order for the coal line to return to historical performance levels. We are also pleased to report that we have signed an extension to the long-term rail agreement between Thungela and Transnet until March 2028. This provides Transnet with the opportunity to implement the initiatives to improve the performance of the rail line until the contract is up for renewal. 2024 saw both the API4 and Newcastle benchmark prices drop from 2023 on the back of high gas and coal inventories as countries built up stocks ahead of the winter season. In addition, the Northern Hemisphere winter was milder than expected and coupled with the impact of low economic activity in the regions in which we sell our coal, this put pressure on prices. The energy markets also remain impacted by the geopolitical tensions between Russia and Ukraine, as well as in the Middle East. The conflicts in these regions have led to increased concerns around gas supply, which in turn provided support for coal prices in the second half of the year. The discount to API4 has improved to 13.1% compared to 14.3% in 2023. The discount in the second half of the year narrowed to 11.1%, mainly as a result of the 1% saving in commissions as well as improved realized prices achieved through blend uplift and brand premiums, realized by the newly established Thungela Marketing International team. In Australia, the discount of 8% to the benchmark price is a result of lower demand in the Asian markets due to low economic activity and buyers looking at other supply regions to purchase coal. We are, therefore, seeing an increase in buying on the spot as buyers look for the best price. As a reminder, the premium achieved in 2023 was attributed to a higher proportion of fixed price contracts at the time of the acquisition of Ensham. Prices have continued to weaken since the start of the year. China's high inventories as a result of aggressive buying to avoid a repeat of the energy shortages that plagued the economy in 2021 and 2022, with coal stocks up 21% year-on-year. The milder winter season and low economic activity in Asia has impacted the drawdown of the stocks. And as a result, there's been limited buying in the first quarter. We expect to see price support in the coming months as these stocks are inevitably run down and buying starts up again. Having said all that, we remain confident in the long-term fundamentals of the role of coal in the energy mix in support of the global energy demand. The International Energy Agency confirmed in its World Energy Outlook 2024 report published in October 2024, that the outlook for coal demand remains firm. There's strong energy demand from emerging markets with countries such as China and India continuing to invest in coal-fired power stations to meet their energy requirements. In addition, a number of Southeast Asian countries with expansive growth ambitions will require reliable and affordable energy sources to support their development. The energy required to power the growing AI industry is a topic of increasing focus due to the rapid expansion of AI technologies and their computational demands. Supply on the other hand, as you see on the graph, is expected to continue to remain under pressure and reduce over time as investment in new coal mines continues to dry up. As a consequence, we have recently seen an increase in the consolidation of existing mines rather than investment in new mines. Stringent regulatory requirements and widespread social and political opposition to the development of new coal mines provides companies like Thungela with well-established high-quality coal operations and access to existing reserves with a significant structural advantage. Let me now hand over to Deon for the financial results.
Deon Smith: Thank you, July, and to those online for making the time to dial into our results presentation for the year ended 31 December 2024. Let me start by saying that we're indeed pleased to report strong full year performance. As we set out at the interims in August last year, the first half of 2024 presented various challenges across rail, our own operations, and indeed softer prices. Fortunately, the recovery in rail, operational productivity and the prices in the second half of 2024 enabled the much improved financial performance we are reporting on today. As July said earlier, the group generated ZAR 6.3 billion in adjusted EBITDA for the full year and a net profit of ZAR 3.5 billion. Approximately ZAR 1.2 billion was generated in the first half, and the balance of ZAR 2.3 billion in the second half, demonstrating the tale of 2 halves, which characterized our performance in 2024. Breaking down the net profit of ZAR 3.5 billion by geography, ZAR 676 million was generated in Australia and the balance of ZAR 2.9 billion from South Africa, which obviously includes the margin earned by our TMI, the marketing business as well as our treasury activities. Our earnings per share of ZAR 26.76 benefited from the effects of lower weighted average number of shares in issue as compared to the prior, showing early results of our share buybacks. We generated adjusted operating free cash flow of ZAR 3.6 billion for the full year, which resulted in a net cash position of ZAR 8.7 billion at year-end. I will talk through the detail of the dividend and share buyback a little later in the presentation. But important to highlight that when we consider the total dividend of ZAR 13 per share for the full year, so it's ZAR 2 at interims and ZAR 11 announced today, together with the interim buyback of ZAR 160 million and the further buyback of up to ZAR 300 million, we are returning a total of ZAR 2.3 billion to shareholders for the full year. Put differently, we're returning 64% of adjusted operating free cash flow to shareholders. We've had a very strong year operationally. Our South African operations delivered 13.6 million tonnes of export saleable production, an increase of almost 1.4 million tonnes compared to last year. This performance was driven mainly by productivity improvements at Zibulo and Khwezela, and it's important to bear in mind that this was achieved without reintroducing sections previously removed in response to the poor rail performance in 2023. In Australia, Ensham also exceeded expectations, producing 4.1 million tonnes on a 100% basis, as the team was able to navigate fault zones more effectively than expected. The production performance across both geographies saw us beat the upper end of our production guidance. The strong production performance also drove a beat on unit cost performance, again across both SA and Australia. In terms of capital, we recorded a spend of ZAR 3.4 billion in 2024, with both sustaining and expansionary CapEx, in line with guidance. Export saleable production in South Africa increased by 11% from 12.2 million tonnes in 2023 to 13.6 million tonnes in '24. This was a tale of 2 halves, mainly driven by the marked improvement in rail performance from TFR, which enabled the realization of the productivity improvements across the mines during the second half of 2024. Export sales also improved in the second half of the year, but full stockpiles at certain operations require that we continue to sell lower quality coal into the domestic market, so called free on truck sales on the slide. These sales, which do not fetch export parity prices, therefore, hold further revenue enhancement opportunities should rail performance improve even further. The Ensham mine recorded a marked improvement of 52% in the production run rate from acquisition to full year 2024, following on the introduction of focused projects at that mine. As Hugo mentioned earlier, for the slides which follow the 2023 comparatives include only 4 months of Ensham compared to 12 months in the 2024 figures. This structural difference makes year-on-year analysis for Ensham a bit challenging. And accordingly, you'll see that we display Ensham separately and that the rest of the slide is focused on movements across the South African business. Let's move into some of the financial results, starting with revenue, where you'll see it's up by around ZAR 5 billion year-on-year. The biggest impact being the structural inclusion of Ensham for the full 12 months, the strong export sales performance in South Africa as we shipped almost 700,000 tonnes more than in 2023, also had a positive impact on revenue. Of course, the most significant impact during the year was the lower price environment across both API4 and Newcastle. Realized prices were down 12% year-on-year in South Africa and 20% in Australia. Looking at the other items on the waterfall, we had less domestic revenue in South Africa, largely due to the fact that Rietvlei volumes were significantly lower, given the mine was on care and maintenance until prior to or shortly before we sold it. We also recorded incremental revenue from the third-party traded volumes. Moving to cost. We can again see the impact of including Ensham costs for the full 12-month period. A reminder that the balance of the bars on this graph pertain to South Africa only. Inflation continues to be high. The increase in commodity prices, or purchases you'll see, relates to a cost of third-party volumes. The incremental volumes produced in 2024 also came with a proportional increase in variable costs compared to 2023. Inventory movement reflects the impact of the movement in stockpiles, as well as a lower production cost per tonne, resulting in the moderation of the inventory balance at year-end. As previously flagged, stock deterioration remains a risk where production is not sold for a prolonged period of time due to rail constraints. The other smaller movements include an increase in the environmental provision, a small movement in FX revaluations and a smaller year-on-year contribution to the trusts in 2024 compared to 2023, in line with the lower declared dividends as compared to the 2022 dividends that resulted in that high cost in '23. Royalties are lower, in line with lower revenue, driven again by a softer price environment. As I mentioned earlier, the year-on-year operating cost increase at Ensham is mainly due to the number of operating months included in our accounts. The operating costs incurred by Ensham in the year amounted to ZAR 8.2 billion. The on-mine cash costs were ZAR 4.8 billion, of which ZAR 2.7 billion is spent on employee-related costs. Royalties for the year on a per tonne basis amounted to approximately AUD 20 per tonne. Total logistics costs reduced from approximately AUD 28 per tonne in the first half of the year to the full year cost of around AUD 22 per tonne, following the successful price negotiations with the rail operator. Looking at costs at Ensham, we are making good progress on identifying a number of contracts where we have been able to negotiate better rates. These benefits have started filtering through in the numbers and contributed to the beat relative to guidance. In South Africa, cost per tonne, excluding royalties, increased by 4.2%. As mentioned on the previous slide, inflation in SA remained pronounced with a 6.5% increase on cash costs, but the impact of inflation and other smaller increases was offset to a significant degree by the higher production volumes. This resulted in a total FOB cost per tonne, excluding royalties of ZAR 1,130 per tonne. Adjusted EBITDA is a function of revenue and operating cost movements, excluding impacts of depreciation and tax, obviously, we covered on the previous 2 slides. So when we look at the EBITDA margin of 18% this year compared to 28% in 2023, it is clear that weaker prices result in significant margin compression year-on-year. The slide on the screen seeks to explain the movement in net cash since December 2023. You'll recall that at 31 December 2023, the net cash balance was about ZAR 10.2 billion. For clarity, this balance excludes cash held on behalf of employee and community trusts, as well as balance sheet investments such as the green fund and self-insurance structures on the balance sheet. We've paid ZAR 1.6 billion to investors in dividends, which comprises the final dividend of 2023 of ZAR 10 per share, and the 2024 interim dividend of ZAR 2 per share. Furthermore, we spent ZAR 601 million on the share buybacks executed during the year. We generated ZAR 5.3 billion of net cash from operating activities. We continue to invest in the business and have spent approximately ZAR 1.7 billion on sustaining CapEx and a further ZAR 1.7 billion on the Elders and Zibulo North Shaft life extension projects during the 2024 year. In addition, we made a significant contribution of ZAR 970 million, as cash collateral against the environmental guarantees in Australia, with a further ZAR 204 million contributed to the green fund in South Africa, as required by the providers of our environmental guarantees. Notwithstanding these cash movements, the net cash balance at 31 December 2024 was a healthy ZAR 8.7 billion. Our capital allocation framework remains the cornerstone of our strategy and prioritizes returns to our shareholders. Our approach is guided by the funding needs of our projects. And accordingly, as July mentioned earlier, the Board considers appropriate to continue to reserve ZAR 100 million for the completion of Elders, ZAR 800 million for the completion of the Zibulo North Shaft project. And then we also reserve ZAR 400 million for the gas project. We've declared a final dividend of ZAR 1.5 billion and a share buyback of up to ZAR 300 million. The trust will also receive ZAR 172 million in relation to the performance in the second half of 2024. This results in a net cash buffer of ZAR 5.4 billion. In addition, we also have access to ZAR 3.2 billion in undrawn facilities. With that, let me now hand back to July to talk us through the 2025 guidance.
July Ndlovu: Thanks for that, Deon. So let's pause and look ahead to 2025. In South Africa, we plan to produce between 12.8 million and 13.6 million tonnes of export sellable production. This guidance is informed by our continued productivity improvements and improved Transnet rail performance. The low end of the guidance of 12.8 million will require a rail rate of approximately 54 million tonnes, while the upper end of 13.6 million tonnes requires approximately 58 million tonnes. FOB cost per export sellable tonne is expected to be between ZAR 1,220 per tonne and ZAR 1,300 per tonne, including royalties. Sustaining capital is expected to be between ZAR 1.4 billion and ZAR 1.7 billion, with expansionary CapEx expected to be between ZAR 1.1 billion and ZAR 1.2 billion, as the remaining capital at Elders is spent and we progress with the Zibulo North shaft project. Expansion of CapEx also includes the ZAR 400 million for the gas project that I mentioned earlier. Ensham is guided at export saleable production of between 3.7 million tonnes and 4.1 million tonnes, while cost per export tonne is expected between ZAR 1,650 per tonne and ZAR 1,780 per tonne, and this includes royalties. Sustaining CapEx at Ensham is expected to be between ZAR 700 million and ZAR 950 million, and includes one-off capital of approximately ZAR 250 million to secure outstanding licenses. As I conclude, our purpose remains our lodestar for every decision and every action we take. Our commitment to safety is unconditional, and eliminating fatalities and injuries from our business is front and center of everything we do. We remain focused on controlling the controllables, navigating through the current market environment by ensuring that we remain productive and cost efficient as we build a sustainable long-life business, which delivers value for all our stakeholders. Lastly, I would like to send a word of appreciation and thank you to the thousands of our employees for their passion and dedication and commitment to delivering the kind of results I'm reporting today. And more importantly, to you, our investors, for trusting us to be stewards of your capital, as we continue to chart the path forward. Thank you very much, and let me hand back to Hugo for Q&A.
Hugo Nunes: [Operator Instructions]
Operator: The first question we have comes from Ephrem Ravi of Citigroup.
Ephrem Ravi: Two questions from my side. Firstly, the guidance you said basically assumes -- the top end assumes about 54 million tonnes on TFR performance. Did I hear that number correct? And if I did, given that your second half rate has been higher than that on TFR, does this kind of imply some degree of conservatism on coal mines kind of not being profitable at current sort of low coal prices? That's the first question. And secondly, on the TFR performance itself, can you kind of give us some color on to any changes you have made to the long the contract extension till 2028 in terms of increased performance metrics or kind of incentives for on-time delivery, things like that?
July Ndlovu: Thanks so much. Let me just make sure you hit the guidance correctly. So the guidance we've given of 12.8 million tonnes to 13.6 million tonnes corresponds to the following numbers. On the lower end of the guidance, it equates to 54 million tonnes, right? That's more or less the number. If you take last year's performance of 51.9 million tonnes, 54 million tonnes is an improvement on that. I accept that that doesn't equate to what we saw in H2. However, the guidance for the upper end, the 13.6 million tonnes equates to 58 million tonnes, which is higher than what they achieved in the second half of the year. So what we're actually saying is we expect Transnet to continue to improve. So there's no real conservatism in the guidance that we have given. We have tried to make that as realistic as possible. Then on your second question on the long-term agreement, the long-term agreement has been extended on the same terms and conditions as the current agreement, save one number, which is, if you remember, the old agreement was on 71 million tonnes, Bernard? That number has been reduced, as we reported in 2023 was reduced to 60 million tonnes -- 63 million tonnes. So that's the only change. So the change between 71 million and 63 million is the contracted number for the industry. But otherwise, the terms are the same as the current agreement.
Operator: The next question we have comes from Brian Morgan of RMB Morgan Stanley.
Brian Morgan: A couple of questions from my side, but can we get started on Ensham? It looks like it will be losing quite a lot of money at spot. But I think one of the mitigating factors might be the contract prices, at least in the short term. So could you just give us a bit of color on what percentage is contracted at what pricing?
Deon Smith: Brian. So yes, spot has been fairly volatile. Safe to say that the forward curve is in contango. So we should see a slight improvement and uptick on Newcastle prices. At the moment, the book is a combination of -- and I'm looking at about 20-odd percent on fixed prices with the rest being floating with a combination of fixed dollar discounts and percentage to new discounts. So on balance, we're looking at a fairly similar discount to what we achieved last year, slightly wider in the short term, as you can imagine some of our prices that we set at a fixed dollar discount to the benchmark would be a bit wider than a fixed percentage discount in the short term.
Brian Morgan: Okay. So if we're looking at 8% discount last year, then it will be similar at spot?
Deon Smith: It might be -- at spot it might be a bit wider because some of the contracts that we have are fixed dollar discounts that would have been struck in Q3, Q4. So mathematically, they would be wider at spot at the moment. And then obviously, if the contango, the forward curve realizes, they would then improve. But as I said, some of the, let's say, the 20-odd percent in the book, that's fixed prices, drive then a more narrow. So it depends on exactly where NEWC runs to, what the discount would do. But around the levels that we had last year, slightly wider is probably a realistic outcome for Q1 this year.
Brian Morgan: Okay. Cool. And then can you just run us through the tolerance for cash burn at Ensham? At what point do you pull the plug?
Deon Smith: Yes. So I don't think we're in that type of discussion at the minute around pulling plugs or anything of that nature. We've seen, as you can imagine, some supply discipline already creep in. Ensham is sitting in a Q3 type position in Australia. So there's a lot of pain on the cost curve above us. So we'll see what -- if the forward curve looks in contango, whether that plays out or not, which should arrest any cash losses there in the short to medium term.
July Ndlovu: Okay. See Brian, I mean, there's no tolerance for cash burn. Our absolute focus is to drive productivity, reduce our costs. And what you should expect to see is continued improvement in both of those levers on a go-forward basis to ensure that the asset continues to be cash generative.
Brian Morgan: Can I move on to South Africa? Just in terms of the theme of the reporting season has been the upcoming RFI coming out of the DOT for rail concessions. Just trying to get your angle on that, and whether you think this is a meaningful thing and whether you'll be participating?
July Ndlovu: Look, we continue to monitor the introduction of third parties on the rail infrastructure. Clearly, we would need to understand the cost structure associated with those third parties and how that compares to what I would call our baseline volume with the current service provider, where already we have -- as you can imagine, we have signed a 3-year contract, which gives us some certainty. So it would have to be one that we are clear eyed about in terms of cost competitiveness and providing security of capacity. But at this stage, we haven't seen anything that has got us excited just yet.
Brian Morgan: Okay. If I may just squeeze one last one in. Sasol said that they're no longer going to be exporting coal. I presume that allocation will be available for lease. Is that something you'll be looking at?
July Ndlovu: Look, I prefer not to comment on what other producers do or don't do, except to say that if there is capacity on the market that we can secure either for our own volume or for traded volumes and we can do that at a margin accretive rate, we would seriously consider it.
Operator: The next question we have comes from Tim Clark of SBG Securities.
Tim Clark: My question just relates to your comments about expected faulted areas at Ensham for the year ahead and then also the sort of transition period at Zibulo and Elders. I suppose what I'm asking is for 2026 then, would you expect a bit of an improvement for both of those as the projects ramp up and as you move through those fault areas? Or is this just mining as it is in the ore bodies at this stage?
July Ndlovu: Tim, thanks for that question. It's a bit of both of what you just said. Firstly, I mean, faults and fault development is a feature of mining, as you know. At Ensham, however, we -- one of the changes we've made to that mine is to introduce what we call a full development crew, which is fairly standard practice in underground mining, if you will. That should allow us to go through the faults whilst keeping the productive sections in good ground and therefore, maintaining our productivity. However, this year particularly, we have a few -- we have more faults than we ordinarily would have wanted to plan. And that's purely a consequence of how the mine was planned. You'll recall that after we took over, we got the approval for Zone 2 and 3. Without those, we actually got the mine constrained for Pitram. So we have to unconstrain the mine, particularly this year. In South Africa, you raised the issue of the transition over the next 2 years, 2.5 years. Elders is in ramp-up, and therefore, you expect that as we ramp down GH and we redeploy those sections to Elders, there is kind of a hiatus before that mine gets to a steady state in 2026. So yes, there will be a slight hiatus, but my teams are doing exceptional work to minimize the impact of that hiatus. Similarly, the Zibulo North shaft as it ramps up -- in fact, the Zibulo North shaft is unlikely to have a similar hiatus because what we're doing, Tim, is we're sinking the new shaft, developing towards the old shaft. At the same time, mining from the old shaft towards the new shaft. If we can get our plans correctly, we shouldn't see a production impact other than in the normal course of mining.
Tim Clark: That's very helpful. Just my second question, you've obviously elevated the importance of the Lephalale gas project this morning. And I wonder if you could give us some feedback or sense of time frames around this? How long will the pilot plant take the testing? Does it -- the feasibility? What kind of time frame should we be thinking on this project?
July Ndlovu: I was hoping not to elevate it more than it needs to be elevated, Tim. But I think realistically, as you can imagine, I mean, you should expect us to run this for the next 2, 2.5 years, collect all the data, develop the business case. And at that point in time, we will then decide what is the most optimal way to extract this valuable resource and at what economics. So I would say don't look for an answer, but it's easy for me to say what I'm just about to say given that I'll be retired then. But don't look for an answer before 2 years are up.
Operator: The next question we have comes from Thobela Bixa of Nedbank.
Thobela Bixa: Great results. Well done guys. So July, just on your last comment, actually, I was hoping to elevate that coal methane project there. So you have previously operated about 5 wells in that project. Could you just tell us as to what have been the learning so far been? And I guess, what are you over and above, just building the plant, what are you hoping to achieve with the ZAR 400 million investment into the project? That's the first set of questions.
July Ndlovu: Without converting this into a detailed technical discussion, so yes, we -- probably over a decade, Leslie, if I'm right, we have been extracting from those 5 wells, you are right. So we actually understand the permeability, we understand the geology, we understand the quality of the gas. We also understand the geotechnical characteristics of hydraulic stimulation or fracking, if you will. But it's one thing to do that on 5 wells, and it's quite another to do it on the kind of scale that we're trying to do. So we still want to gather that kind of technical detail, that technical data at a slightly higher scale that you can scale it up to a significant production scale if you need to. That's the first thing. The second thing that, as we have said, was always where is the market and how do we get to the market, what is that route to the market and in what form. So one of the things that we want to do is to liquefy the gas. Granted, we would have preferred to market this to the commercial markets. But the nature of our license is like that this is a bulk sample. So for now, we're going to utilize that to generate our own power using a gas generator. We have done the numbers. It more than washes itself. That is really to prove the technical and cost feasibility of liquefying gas in Lephalale, and bringing it into what is probably the key market, which is around Gauteng. And that will give us all the data we require to put together a bankable feasibility study for a full exploitation of that endowment.
Thobela Bixa: And then Deon, could you just expand on the investments that you're currently making into the various funds, whether in South Africa or Australia, sort of what are the targets for these funds? And when do you expect to meet those targets, if any?
Deon Smith: Yes. So in the last year, you would have seen in South Africa, we made a contribution of about ZAR 204 million. That's roughly in the order of 5-odd percent of the environmental guarantees that we have in issue in South Africa. And the arrangement with those guarantee providers is that we'll continue topping up that green fund or so-called green fund by that 5% per year. Now clearly, as we spend actual cash flows on reducing that footprint in the -- environmental liability footprint in South Africa, that number is likely to come down in time. But for the foreseeable future, that's roughly the order of contribution annually in SA. In Australia, we're in a slightly more unique position. There, we've had to put in place a number of guarantees. And therefore, we've increased that contribution to the ZAR 970-odd million you saw last year. This 2025 number, we're expecting to be about half of that. And our discussions with the treasury and the Queensland Treasury team will continue this year because clearly, one of our aims have always been to get acceptance for Ensham into that Queensland financial provisioning scheme. And once we've done that, it arguably takes the need for a regulatory type cash collateral away. It just potentially, therefore, reduces the requirement for any further contributions in Australia. So ZAR 970 million last year, probably half of that in 2025. And if we're then in the pool, that disappears or those contributions disappear.
Thobela Bixa: And then my last question is just on the markets. Looking at the spot prices or sort of the assumed prices for Australia as well as South Africa, your assumed prices are sort of ahead of where spot is. Could you just give us some sort of color as to when do you expect the prices to recover? And what do you think is likely to drive the price recovery in 2025?
Deon Smith: Yes. So obviously, we don't have a perfect crystal ball to predict the short-term volatility that we've seen. Needless to say, Thobela, that there's been a lot of geopolitical news flow baked into the price. The U.S. government's narrative that they will solve the conflict between Ukraine and Russia has clearly put some level of pressure, a downward pressure on the price. Yet if we look at our analysis, a lot of the Russian coal continues to be loss-making at these prices. So there's probably a lot of noise in the price. I'm just using that as one example. There are a number of other examples around Japan's recent plans to increase nuclear over the next 20, 30 years as a proportion, whatever from 8% to 16% or even 20% of their energy mix. Those are all noisy factors rather than necessarily fundamental supply/demand. So we -- when we look at the forward curve, that remains in contango, whereas last year and the year before when we spoke, the prices were always in backwardation, yes, and that backwardation seems to have played out. Currently, it's in contango. So if we see a recovery in prices, it will be gradually during this year if the forward curve is anything to go by.
Operator: At this stage, there are no further questions on the conference call.
Hugo Nunes: Thank you very much. I'll read some questions July, these 2 for you, before we move over to Deon. So Nkateko from Investec. What is your experience with logistics and rail operators in Australia that will be strongly considered as you evaluate your options on private participation in South Africa?
July Ndlovu: Well, I don't really think that it's got any relevance other than to say our experience has been pretty good. And that's why you don't hear us comment on logistics. If at all anything, the contract that we've got is very good. We've been able to renegotiate the rates lower. It performs. So we're quite pleased with that. Are those lessons necessarily translatable to South Africa? To a large extent, that is probably a question best addressed to the presidents through the NLCC and the Department of Transport.
Hugo Nunes: Thank you. The next question is, you achieved a 13.6 million tonne export salable production in South Africa in 2024 at a lower TFR run rate than what you are expecting in 2025. Please give us a bit more color.
July Ndlovu: So I think it's important to remind all of you, our investors, what we said all along. We said we would drive our productivity improvements across our mines. And if we do end up producing significantly more than we're able to rail, we would sell what we call free on truck sales. It's nothing other than we sell it at the mine gate. So you'll see through our numbers that we sold 1.1 million tonnes through at the mine gate. If the rail performance were to improve, that 1.1 million tonnes would be on rail at a better netback than we would get by selling at the mine gate. So why do we sell at mine gate? It's still a very good cash contribution margin. So it makes sense to do it that way, but we would make more money if we put it on rail.
Hugo Nunes: Thanks. Deon, a couple of questions from Shashi at Citi. What are the levers you can pull to control costs, especially at the Australian operations if thermal coal prices fall further? What is the breakeven price for Ensham?
Deon Smith: Yes. So if we take that one first, clearly, we've seen the softening of the prices over the last number of months, and the team in Australia has developed a cash cost optimization plan that cuts across OpEx as well as capital. Capital is slightly elevated in 2025. As you might have seen, we came in significantly under guidance in 2024. And what we didn't spend in 2024, some of that is quite critical to spend in 2025. So whilst we will look at some capital austerity, our usual cost optimization programs -- which isn't one big lever, it's a number of levers across various contracts and areas of spend -- will continue to be a focus area in Australia over the next number of months. At current Australian dollar-U.S. dollar spot, the all-in sustaining cost for Ensham is around USD 103 a tonne. With Australian currency reverting back to the last couple of years in exchange rate terms, that probably increases that USD 103 to about USD 108 a tonne. So that type of range between USD 103 and USD 108 given the FX is what the current NEWC-level breakeven all-in sustaining OpEx, CapEx position is. Clearly, there are a couple of opportunities to reduce that slightly, and we'll continue to work it throughout this year.
Hugo Nunes: Thanks. Another question from Shashi is: Sustaining CapEx guidance for South Africa in 2025 is circa 50% higher versus 2024. Just wanted to understand the reasons behind this. And is this a level of sustaining CapEx, the new normal going forward?
Deon Smith: Absolutely not the new normal, Shashi. What we've seen is that, again, like in Australia, we came in at the low end of our capital guidance last year. There are a couple of items that are quite critical and one-off that we need to get done, a piece of work around the MRD at Mafube, some mineral residue deposit facilities at Mafube, Boxcut C at Khwezela, et cetera. So a couple of one-off projects that are critical and have moved into 2025. But we expect that SIB to moderate again after those projects have been executed in SIB territory.
Hugo Nunes: Thanks, Deon. July, a question for you is just the purpose around the Dubai office.
July Ndlovu: We opened our Thungela Marketing International, which is we needed to market our own coal post the agreement we had with our former parent. Then the only next question was where do we locate that office. We chose to locate it in a region, which is supportive of fossil fuels, as you can imagine, and that's the Middle East. Secondly, it's a region that is close to our markets, close to our customers. And that's the only reason why we located it in Dubai.
Hugo Nunes: Thank you very much. Operator, any other questions online?
Operator: At this stage, there are no questions.
Hugo Nunes: I think we are ready to wrap up then. So thank you, everyone. Unfortunately, I'm going to have to wrap up the Q&A session here. If you are not able to get to your question today, if we were not able to get to your questions today, please do get in touch with myself or Shreshini via e-mail. Our e-mail addresses are at the bottom of the SENS and RNS announcements released earlier today. With that, please allow me to hand back to July to close out the day.
July Ndlovu: Thanks very much, Hugo. Let me thank all of you for attending our call. What we have shared with you is a very strong set of results. And I'm sure you now accept that this is probably our reputation. We deliver on our promises to you, our shareholders. We're absolutely obsessed by on controlling the controllables. And even in this softer environment, we will do this by making sure that we operate safely and we drive productivity and reduce our costs so that we can generate value for you, our shareholders. We'll do that at the same time whilst building a resilient long-life business. Thank you so much.